Operator: Welcome to this Ageas Conference Call. I am pleased to present Mr. Hans de Cuyper, Chief Executive Officer; and Mr. Wim Guilliams, Chief Financial Officer. For the first phase of this call, let me remind you that all participants will remain on a listen-only mode. And afterwards there will be a question-and-answer session. Please note that this call is being recorded. I would now like to hand over to Mr. Hans de Cuyper and Mr. Wim Guilliams. Gentlemen, please go ahead.
Hans De Cuyper: Good morning, ladies and gentlemen. I want to thank you for dialing into this conference call and for joining the presentation of Ageas 2024 full year results. I am proud and pleased to report that Ageas successfully completed its Impact24 growth strategy with 2024 inflows up 10% at constant FX and scope on scope for the divestment of our French operations. This remarkable commercial performance in 2024 was powered by an impressive growth in non-life with inflows up 14%, thanks to significant business growth in all segments and product lines. The exceptional inflows in the UK and Portugal is steered by new business growth and customer acquisitions as well as by tariff increases. And this is visible in the improved combined ratio in the Europe segment. The Reinsurance Protection business, so not the part related to the internal capital management, maintained a steady growth in line with our five-year plan with inflows increasing more than 50% during its second year of operation. Last year, the portfolio was rather skewed towards NatCat coverage. This year with an emphasis on diversification, the range of products is more balanced between NatCat, property and casualty lines. In Life, inflows benefited from a strong growth in Europe. In Portugal, inflows increased sharply by 45%, which is the result of the successful introduction of a new product offering more adapted to the new interest rate environment. Also in Belgium, Life inflows returned to growth, mainly driven by group Life and Invest products. The growth in Asia was realized with strong persistency rates, building on the new business that was sold in previous year in China. Regarding the net operating result, Ageas successfully met the 2024 guidance, achieving a result of EUR1.24 billion at the upper half of the guided range notwithstanding a higher effective tax rate. Belgium, as ever, played its role of solid performer with a strong combined ratio of 91.8% and an excellent guaranteed margin of 98 basis points. In Europe, the net operating result rose significantly, both in Life and Non-Life driven by strongly improved results in the UK and Turkey. In Asia, the insurance results considerably increased as well, showing the quality of the business. I would like to stress the strong underlying performance of these group results expressed by the Life margins and the Non-Life combined ratio. The strong operational performance is also reflected in the high group operational capital generation, which amounted to an exceptionally strong EUR2.2 billion for the first time exceeding the EUR2 billion mark. Looking at our cash position, it exceeded EUR 1 billion. During the second half of the year, Belgium upstreamed another EUR200 million interim dividend aligned with our external fixed interim dividend of EUR1.50 per share, bringing cash upstream for 2024 at EUR805 million. I am proud to already announce that thanks to the excellent results in 2024, we expect to receive in 2025, a strongly increased cash upstream from our insurance entities between EUR850 million and EUR900 million in 2025. Following the excellent results, a strong Pillar 2 solvency ratio of 218% and a robust cash position, the board of directors has decided to propose a total gross cash dividend of EUR3.50 per share, a growth of around 8% over 2024. The interim dividend of EUR1.50 per share was already paid out in December last year, and the payment of the remaining EUR2 per share will be done early June. The least we can say about Impact24 is that the commercial, economic and market environment has turned out different than what we had in mind at the start of Impact24. Despite a challenging macro environment, we achieved strong profitability while diversifying cash flows and delivering great value to our shareholders by returning EUR1.75 billion over the cycle. This demonstrates Ageas' resilience and adaptability to evolving customer demands and sector dynamics. With the successful delivery of Impact24, we established a solid foundation for our next three-year strategic plan, Elevate27. The combination of growth and improved profitability makes us confident for the future, and we look forward to the continued growth of these results over Elevate27. I now give the floor to Wim, who will go further into the performance of each of the segments.
Wim Guilliams: Thank you, Hans, and good morning, ladies and gentlemen, also from my side. The strong net operating result was driven by an excellent insurance result in both Life and Non-life. This translated into a higher group-wide Life guaranteed margin at 149 basis points and a solid group-wide combined ratio at 93.3%. In Life, we recorded an excellent insurance result, up 25% compared to last year, illustrating the quality of the business in all segments. Belgium showed on top of higher realized net capital gains and increased recurring investment result compared to last year. In Europe, the strong increase versus last year is mostly driven by Turkey, thanks to an improved result on short-term life. Asia recorded a strong increase in the insurance result, driven by a strong result in short-term Life, resolving last year's negative experience variances by improved expense and claims management and an increased investment result. This was, however, more than offset by an elevated deferred tax in China. This translated into a group Life net operating result of EUR909 million, slightly up compared to last year due to a higher tax rate. Moving now to the Non-life activity, where the excellent combined ratio of 93.3% together with the volume growth translated into a 17% increase of the net operating result to EUR454 million. A significant improvement was recorded in Europe and reinsurance, thanks to the strong technical pricing discipline and operational efficiency in the UK. On top of this, the reinsurance protection results contributed a strong growth, thanks to increased volumes, combined with an improved combined ratio at a strong level of 80.6%. The CSM roll forward of the group showed a positive operating sales and movement of EUR424 million. This positive evolution corresponding to a 4.6% growth was supported by a significant contribution from new business, which was higher than the CSM release. The new business reached a high EUR906 million contribution to CSM, up almost EUR100 million compared to last year. The increase of the Life value in the business, including also the short-term Life and Life investment products is even up EUR200 million, compared to last year, to reach an amount of close to EUR1.1 billion. This positive operating CSM movement, along with a solid group net operating result, supported the growth in comprehensive equity to EUR16.1 billion. Our cash position increased from EUR959 million to over EUR1 billion, mainly thanks to lower holding costs and higher cash upstreams from our insurance entities. In 2024, we received dividends of EUR805 million, a 12% increase compared to last year. To conclude, I would like to add a word on solvency and operational capital generation. As mentioned by Hans, the solvency of the Solvency II scope companies stood at 218%, up 1 percentage point over '24. This was mainly driven by a strong 25 percentage point operational contribution significantly above the dividend. The solvency of the non-Solvency II scope increased from 282% to 296%, mainly thanks to an improved solvency ratio in China explained by a strong operational performance and temporary supported by increased unrealized bond gains from lower interest rates. Important to mention that the previously discussed elevated tax in China has no impact on the solvency ratio as deferred taxes are not recognized in the solvency calculation. The operational capital generation of the group amounted to an exceptionally strong EUR2.2 billion, up 23% versus last year and the operational free capital generation of the group amounted to EUR1.5 billion, up 29% versus last year. Operational capital generation included close to EUR1.1 billion from the Solvency II scope company, strongly up compared to last year, driven by significant improvement in all segments. The non-Solvency II scope, the operational capital generation increased to almost EUR1.3 billion, primarily thanks to a high contribution from time value and new business. I have now reached the end of my presentation, and we are ready to answer any questions you may have.
Operator: Ladies and gentlemen, this concludes the introduction. And we now open the call for questions. [Operator Instructions] And our first question comes from David Barma from Bank of America. Please go ahead.
David Barma: Good morning. Thanks for taking our questions. Firstly, I wanted to ask about P&C in Belgium and I guess a two-part question there. Firstly, if you could explain a little bit the deterioration in the attritional loss ratio in the second half? It seems to have picked up quite a bit in the second half of '24. And then if you can add to that, a few comments on the competitive dynamics right now in the Belgium P&C market? And then secondly, on Asia, also a two-part question, I guess, on Asia. Firstly, is just to be sure, should we expect the tax rates to be back to normal from the start of 2025? And then on the cash guidance you've given for 2025, how much is Asia meant to represent in that? Thank you.
Hans De Cuyper: Okay. I'll give the first two questions to Wim, I'll come back on the cash generation.
Wim Guilliams: Your question on the P&C combined ratio in the second half of the year. Indeed, there is one element that we have to mention, which is also mentioned in the slides on Page 29, is the impact of what we call the indicative tables. There's a three-year review of the amounts that are being used to go to lump sum settlements in Motor business. And that is normally something we accrue for over three years. We got the updated tables, and that's a one-off adjustment, and that was slightly higher than what we expected over the three-year period. So that's something with a slight impact that you see in the combined ratio in the second half of the year. On the competitive dynamics, so nothing special to mention there. Because the evolution in the combined ratio can be explained by this element. On the Asia tax rate, good question, David. Of course, you know that we explained during the half year results, this elevated tax situation. Over the longer term, we still see the tax rates going back to the normal levels and normal levels is the long-term average, but we have in mind the very long term, that '26, '27 where we will also be able to recover the deduction of the coupons on the government bonds. For this year, we are more tending -- expecting to tend closer to the corporate tax rate, 25% in China because you have to imagine that the interest rate movements and the financial market movements have an impact on the local result and so still impact the local tax situation.
Hans De Cuyper: Coming from Asia, where you see that we foresee that the generation goes from EUR185 million to EUR850 million to EUR900 million, exactly, we gave a range because for the non-controlled participation, I think the dividend upstreaming still has to go, of course, through the governance. Remember that Asia in Impact24 and also '24 was approximately 16% of the total upstreaming of that 60%, 10% was China. And I think, as I said, we might look forward to slightly increasing payout ratios coming out of Asia because of more moderate growth but final numbers are still outstanding here. They are passing through the governance.
David Barma: Thank you.
Operator: Thank you. And now next, we have Anthony Yang from Goldman Sachs. Please go ahead. Your line is open.
Anthony Yang: Hi, good morning. Thank you for taking my questions. Actually, the first one, just a follow-up on the cash guidance. So if I were to think about it by segment, I see that China's cash is actually lower year-on-year in 2024 versus 2023. Given the low interest rate in China, should we expect that trend to continue in 2025? Yeah, that's question one. Maybe I will ask a question two later.
Hans De Cuyper: Thank you, Anthony. Well, first of all, as I just said, we do not have final numbers yet. Remember that also our partner, CTIH, declared already last year, more or less stable dividend on the short term and mid long-term rising dividend, and that's also what we expect on the total cash generation. Again, on our total cash generation and dividend story, China is only 10% of that today. So it is not material, but expect something that follows the trend line that we have earlier announced.
Anthony Yang: Question is still focused on China. Can you give some color on what is the asset liability duration gap in Taiping Life? And also, could you give some color on the development speed of the cost of liability of in-force book versus the investment income yield in Taiping Life? Thank you.
Hans De Cuyper: Okay. I'll give that question to Wim.
Wim Guilliams: Yeah. Thanks for the question, Anthony. But you know that our partner is not disclosing the duration gap. So for us, it's difficult to disclose that. We can only confirm that there is one, which is quite linked normally to the type of business that has been sold and the growing book that needs to be created over time. The development of the yield of the in-force book versus the assets. Yeah, you see there that the important one to monitor is there how the investment result is being evolving over time. For this year, we got some support in that investment result. But of course, that duration gap will translate into an expected decrease of that investment result over the longer term. But they are managing the link between the two.
Anthony Yang: Thank you.
Operator: And from Berenberg, we now have Michael Huttner with our next question. Please go ahead. Your line is open.
Michael Huttner: Thank you. It was still on China. Your -- I was actually surprised in the operating -- in the operating capital generation slide, there's a EUR1.3 billion figure, which is markets. And that's -- and the comment is it comes from interest rates in China. But I thought lower interest rates creates pressure, so I would have expected this to be negative, and it's a positive. Could you possibly help us understand this that would be very helpful? And my second question is still on China. What if interest rates stayed now forever at the current level, which is at 1.8%? What would be the local solvency? And how would we deal with it? Would you have to put in money to prop it up like may be prudent?
Hans De Cuyper: Okay. These are questions for the CRO, Christophe, Michael.
Christophe Vandeweghe: So well, regarding the market impact, indeed, you're right. In the long term, interest rates, of course, do have an impact. But of course, what's happening here is due to the way that the solvency is working in China. What you have is that when interest rates go down, you get the revaluation of the assets directly. So when we look at the last quarter, we had a decreasing interest rate and that supported the solvency because the spot rate on the Chinese government bonds during the year dropped, especially in the last quarter. And the liabilities are actually valued with what they call the valuation interest rates. So it's a 750-day average. So that's the main reason why you have, especially in the second half of the year, such a positive market impact driven by interest rates.
Michael Huttner: Understand. And what would solvency be if you marked everything on a market-consistent basis today? I mean, would you have --
Wim Guilliams: Thanks for the question, Michael, and it's, of course, a good question. But here again, as our partner is not disclosing that, it's for us difficult to disclose that. You will know that they, of course, give an outlook for the next three months, so that you have. The only element we can refer to is that we're transparently reporting comprehensive equity under IFRS 17 where you see spot rates evolutions, and we're showing the evolution of the available capital, where you have the 750-day moving average. So you can get a view on the sensitivity linked to that difference that we have.
Michael Huttner: I know this is very helpful -- but can you split it out at all?
Wim Guilliams: You look at Slide 20 --
Michael Huttner: Yeah, yeah. Right. I'm on Slide 20.
Wim Guilliams: Comprehensive equity is IFRS 17 spot rate based. So both assets and liabilities are at a spot rate. Available capital is solvency impacted. There you have the assets at spot rate and the liability of the 750-day moving average. You can see over time that our comprehensive equity is even slightly growing or you could say a very stable development over time, where the available capital has a more volatile development over time.
Michael Huttner: So just to understand, the comprehensive equity is what I would say, mark-to-market on everything. And the available capital, you have the lag on the liabilities.
Wim Guilliams: Correct.
Michael Huttner: Okay. And the difference between the two is this EUR4 billion. That's really helpful. Thank you.
Operator: Thank you. We're now moving on to a question from Farquhar Murray from Autonomous. Please go ahead.
Farquhar Murray: Good morning, all. Just two questions, if I may. Firstly, on the net operating profit guidance of EUR 1.3 billion for full year '25. I mean, that's arguably about 5% year-on-year and maybe the lower end of the rounding if we're looking at the 6% to 8% EPS target. So I just wondered more broadly on how you're feeling in terms of confidence on that? And then more specifically, just coming back to China, Chinese rates are down about 20 bps since the September CMD. I just wondered how much of a headwind that would be in terms of the EPS target. And then secondly, a little closer to home, back to Belgium. I just wondered if you could comment on the business implications you see from the new Belgium government so far and perhaps more importantly, where there are still uncertainties what you're looking to see in terms of clarifications? Thanks.
Hans De Cuyper: Okay. I'll take the first one on guidance, and I'll come back on government later. The other I'll give to Wim. Indeed, we gave a guidance of EUR1.3 billion, and it might look like that the 5% is below the Elevate27 ambition. First of all, remember, this is the beginning of the year guidance. Also last year, we have, I think made it a little bit more specific when we had a view on midyear results. And in our guidance, of course, we always take, on the one hand, the uncertainty of CatNat, there we take a little bit of a margin as well as the landing of the tax rate in China is another element there. As we have said already, we expect over the midterm, a normalization of that tax rate in China to happen. So at this moment, we have absolutely no doubt that over the Elevate27 cycle, we should deliver the 6% to 8% EPS evolution. Maybe first on interest rates and EPS. Maybe Wim, I’ll come back.
Wim Guilliams: Indeed, a fairly remark, of course, when we came out with Elevate27, we were in September. And the rates went further down to the end of the year, decreased a bit more in the beginning of the year and recovered to the end of the year situation. This can be expected to have a negative impact on the investment results going forward. That's what I also mentioned that you can expect that the investment result of Asia will have a decreasing trend gradually over the time. Of course, an important offsetting element will be the value new business that's written and the pricing discipline that's maintained in that new value new business. And that will be something that we will see how that evolves. But at this moment, as Hans said, we confirm the 6% to 8% range.
Hans De Cuyper: And then on the Belgian government measures, so it's a bit early to say what the concrete impact is. I think there are very clear positives. And that is the stimulation of the complementary pension schemes where they want to bring it to 3%. That is, as you know, not sufficient to go to a solid replacement ratio for Belgian employees, but it is a further step in, I would say, strengthening the role of second and third pillar in the pension problem that the country faces with aging. So I see there commercial opportunity coming up for the coming years. As you remember, you would have chosen also aging as a key strategic element under Elevate27. On the other hand, there is some changes in tax. It's too early to say what type of investments and products will be impacted by this, but it is something that we will definitely pay attention to in the future. And the third element I want to give that we have good hope that the final stage of approvals on the CatNat regulation in Belgium will come forward. I remember that the industry has already a higher exposure to CatNat under the new legislation, but the second part of this, on top to get a full compensation for claimants, what the government would take there. We are still waiting for final legislation, but we have good hopes that will come forward and stabilize again the issuance and reinsurance position for CatNat in Belgium. But more details will come later as the government has turned it in concrete text. We are waiting for that.
Farquhar Murray: Great. Many thanks.
Operator: Thank you. [Operator Instructions] I will now move on to a question from Michele Ballatore from KBW. Please go ahead.
Michele Ballatore: Yes, good morning. Thank you for taking my question. So more focus on the solvency, especially the movements in the second half on the required capital, which were particularly positive in the second half for the Solvency II Pillar 2. And on the other hand, were negative in the non-Solvency II scope. So I'm referring to the operational movements in the required capital. And also if you can give some details about the model changes that generally in second half had a positive effect? Thank you
Christophe Vandeweghe: Okay. Thank you for the question. On your questions on the operational capital generation and the impact on the required capital, you can follow this on Slide 22, where we provide some details on it. So as you can see, while we have, of course, our operational capital generation on the owned funds. And then we have what amount of capital that we consume. What you generally have is, of course, that if you grow, you lock in capital, and then there are some more volatile elements around it, like, for example, asset management actions. So, if you see our total operational capital consumption, when you put the Solvency II scope and the non-Solvency II scope together went slightly up from EUR383 million to EUR415 million. But the movement is somewhat different between non-Solvency II and Solvency II scope. So on the non-Solvency II scope, so the one that pushes the overall amount up, the main reason for that is linked to asset management actions in China. So if you look to the year '23, we had quite a derisking on the equity portfolio. While in '24, we do have year-to-date at the end of the year, still a slight decrease, but that came with the first half of the year, a bigger decrease and then a rerisking in the second half of the year. So that's the reason that the figure has been volatile and it moves a bit differently between the first half of the year and the second half of the year and that compared to 2023, overall, we end up with a figure that is higher on the non-Solvency II scope. On the Solvency II scope, you see the inverse movement. So we've gone from 194% to 66%. As I mentioned, if you grow, you lock in capital, so it's normal that you look in something. When you have asset management actions, it does have an impact. So for example, in Belgium, in '23, we did have some additional risking in equities and property, so that you see in the 2023 figure, which is not in '24. And you also had in Europe, an overall bigger profitability. And if you're more profitable, you can also absorb more losses, and that also impacts the required capital. So we have a different movement but driven a bit by one-off movements during the year. And the model changes to come back that you can see on Slide 23, you see the model changes in Europe in the Solvency II scope and in the non-Solvency II scope. So overall, during the year, we had plus 4% in the second half of the year because that was your question. These were mainly updates of our cash flow models in Belgium, and we also had a positive model change on reinsurance. On the non-Solvency II scope, this is more linked to -- we have some evolutions on the par bonus and to -- let me just -- so what we have, if you look to the first half of the year, we had a negative impact there in the model changes. And that was linked to the tiering system in China. So we had a cap on the future policy surplus admissible into core capital that was reduced from EUR45 million to EUR40 million. But in the meanwhile, in the second half, the company has done some capital optimization initiatives to get more of that inadmissible surplus recognized as well as a one-off release in the par bonus provision in the wake of lowering the par bonuses. So altogether, these effects offset the negative impact that we had in the first half due to the tiering effect. So I think with that, we explained both of your questions.
Michele Ballatore: Thank you. Thank you very much.
Operator: Thank you. And now we take a question from Alessia Magni from Barclays Bank. Please go ahead. Your line is open.
Alessia Magni: Hi, good morning. Thanks for taking my questions. I had a question on reinsurance. So net operating results in 2H was very strong. So I would like if you can give us a little more color on the main drivers and also what we should expect for coming quarters? Also, I can see that protection combined ratio was very strong at 69% in 2H, so should we -- is there any particular one-off? Or should we think that's the sustainable level going forward? Thank you very much.
Wim Guilliams: Okay. Thanks for the question, Alessia. So indeed, very strong performance in reinsurance. That's also one of the elements that we highlight for the improvement that we see. Of course, two elements in there. You always have to remember that we have the capital management business in there. So that's following the strong performance that we have in the different segments and the increase that we see there is primarily coming from the strong improvement in the results in the UK. The second one is the External Protection business, also very nice development which we explained earlier with the business plan that we have. And at this moment, we are already benefiting a lot from the strong contribution, which has a strong combined ratio of 78%. Of course, as we always say, this reinsurance part will be more volatile going forward. But at this moment, we have the very nice contribution in the results.
Hans De Cuyper: Let me already invite you, Alessia, we will do a deep dive for analysts on our Reinsurance segment on April 3rd. So this is already your invitation.
Alessia Magni: Thank you very much.
Operator: Thank you. And we move to a question from Jason Kalamboussis from ING. Please go ahead. Your line is open.
Jason Kalamboussis: Yes, good morning. A couple of things. The first, a bit the elephant in the room, I mean, BNP Paribas has increased their stake to above 15%. 2%, 1.85%, I think, is technical, but still. I'm trying to understand what the game is versus the 25% stake they have in AG Insurance. And presumably, if you can answer, if you could tell us if you would accept any lowering of your stake in AG Insurance or if your intention is firmly to stay where you are? The second question is around a bit more follow-up questions. I didn't touch on the model changes on Solvency II. So you had 4% that was in the first year and 4% in the -- sorry, in the first half and 4% in the second half. So is it 4% in Belgium in the first half and 4% model changes positive in the second half? And also, should we expect more of that in next year? And then on market movements, you had minus 6% decrease in the second half, what are the key elements behind it. And the final question is around the operating capital generation, the capital consumption, you are at EUR66 million. You very well highlighted towards what the reasons were behind the fall. Are there any actions that you are aware now, that would make that number change and in which direction for 2025? Thank you very much.
Hans De Cuyper: Okay. Thank you, Jason. Well, first of all, BNP would love it that you call them an elephant. So they will appreciate that. No, we have seen that BNP has moved to 15% in the group on top of the 25% they have in AG. Remember the announcement in April '24 that they acquired the stake that was held by Fosun. And that acquisition, as you know, was done by BNP Paribas Cardif. And that has something to do, of course, also with the Danish compromise. And that brings, I think, now the total group of BNP at 15%. They have indeed the 25% in AG. We have absolutely no interest to lower our stake in AG, even, I would say, the contrary. We are very happy with the performance and the role that AG is playing in the Belgian economy, BNP is that, by the way, as well. Let's not forget that the main drive of BNP to step into the capital of Ageas was exactly to secure the strong partnership that we are having in Belgium in Bancassurance. So actually, the move we have seen now is a confirmation for AG on the long-term continued partnership on Bancassurance in Belgium. And I give the other, I think, all 3 questions, I think, are for Christophe.
Christophe Vandeweghe: Yes. So for the model change, well, yes, indeed, as you mentioned rightly, indeed, we had a 4% impact also in the second half. Do we plan further model changes today, we don't have any model changes planned today on the list. Regarding the 6% of market movements. In the end, this is mainly coming from spread widening than mainly on government bonds during the second half of the year. We also had a bit in the first half of the year, but mainly in the second half, you see this more explicitly and some FX movements. And regarding your third question, in terms of capital consumption, no, I'm not aware about any particular actions that would already impacted going forward, aside, of course, of an intention to grow.
Jason Kalamboussis: Thank you very much.
Operator: We now move on to a follow-up question from Michael Huttner of Berenberg. Please go ahead.
Michael Huttner: Thank you so much. And I really want to know how conservative your guidance is for 2025? I don't know how best to ask it, but I thought one way would be to say, well, can you maybe discuss the -- or help us with the assumptions you made on the Reinsurance, where you kind of assume everything is normalizing. So to me, that would be a negative. And maybe I would take that to be a sign of conservatism. But -- and similarly on the cash. As you know, I quite like to be able to say, well, the company was conservative and the numbers are really much better? Thank you
Hans De Cuyper: Well, Michael, I would love to say that as well. So let's work all towards that ambition. But as you know, in the beginning of the year, in the current volatility we see around the world and in our different businesses. Indeed, we do take a certain conservatism, meaning that for the EUR1.3 billion, we have very concrete plans that are in implementation for the year. I think two main uncertainties at this stage, as I said, is indeed CatNat. And how will that impact overall. CatNat '23, '24 in our results was more or less stable. What will '25 remains to be seen. What I can already tell you there is that on the CatNat in reinsurance because a few big events have already happened. We are still within the first half year budget that we had foreseen for CatNat claims due to weather, and I talk now, of course, about the fires in Spain, and fires in California. Second uncertain element, as we said, is the tax rate. In China where it's clear, over the midterm, we expect a normalization. But whether that normalization will fully happen over the year '25 that remains to be seen. I hope I can give you more concrete guidance by the mid of the year.
Michael Huttner: And just as a reminder, where is the tax now? I'm sorry, I haven't worked it out for --
Hans De Cuyper: The tax rate for Asia was 39%.
Michael Huttner: Thank you so much.
Hans De Cuyper: Sorry, 37% to be correct.
Michael Huttner: Thank you.
Operator: Thank you. And we take another follow-up from David Barma from Bank of America. Please go ahead. Your line is open.
David Barma: Thank you. I just had one last follow-up, please, on the expense ratio in non-life, which has been getting better almost every period in the last few years and the second half was again very good. Now, is there any big mix effects in there that we need to be aware of or any special effect really that you can mention to help us model this -- the expense ratio going forward? Thank you.
Wim Guilliams: On that side, I think one element we have to highlight then is on Slide 36 in Asia. You know that we did the best effort to get all the components in '23 in Asia, and there has been an allocation change so that you have to a bit put aside. But even with putting that aside, you're right, there is an improvement in the expense ratio. Also for a part driven by the growth that we've been able to do in the premiums of scores, which is an effect of scale.
Operator: We take our next follow-up question now, which comes from Anthony Yang from Goldman Sachs. Please go ahead.
Anthony Yang: Thanks for taking my follow up. The firstly is, can I ask what are you observing in terms of new business sales in China year-to-date, including any comments on the new business mix as well, like par versus non-par products? And the second follow-up is you mentioned the re-risking in China. Could you give us more color on that, please? Thank you.
Hans De Cuyper: Okay. Anthony, well, Filip for Asia is also in the room. So on the start of this year, I will pass the question to him.
Filip Coremans: Thank you, Anthony. Yes, indeed, it will be interesting. And as you have observed, the data related to the opening campaigns in China have been quite slow being released by the players. Of course, there is some important shifts. I would say it's an important year for Chinese life insurers. They have the introduction of the dynamic pricing adjustment mechanism that came along. You had indeed a shift in the market towards par products from non-par after the lowering of the guarantees over the third quarter, which obviously the low interest rate environment provides better loss absorption capacity or more agility in terms of pricing. Now figures of the opening campaigns have not been released, but I can tell you that -- and keep in mind that Chinese New Year this year was very early in the year, that what we have seen that the -- at least from our side that things look at the same level as last year. So the volumes have not collapsed or not soared, we would not have expected that. So they seem to be at a similar level. And indeed, the shift to participating products, at least at the level of Taiping Group, has been executed with rigor, I would say, that our colleagues will give more color. So you can expect a massive shift to par and indeed new business volumes at similar levels as the year before. And on the re-risking, well actually the rerisking in the second half is the investment mix at the end of the first half was around -- for the whole of the Asia region was around 11% in equities and the 11% has moved up to 12.3%. Now keep in mind that over the second half also the equity markets rebounded a bit. So it is actually quite moderate. And in terms of where that rerisking goes to, let it be clear that there is definitely a reorientation. And you know a lot of discussions have been taking place in the market in the wake of the guidance to boost a share investment. It's going more into long-term equity with high dividend.
Anthony Yang: Thank you very much.
Operator: Thank you. And our last question for today comes from Farquhar Murray from Autonomous.
Farquhar Murray: Apologies, just a very brief follow-up from me, both on Belgium Life. Firstly, could you just quantify the size of the kind of catch-up element on bodily injury you mentioned there? And then secondly, how significant is that to pricing in terms of the movements you're putting through this year?
Wim Guilliams: That follow-up question, we have included the impact on Slide 29. So there you see the full year impact was 1.7 percentage points due to the update of that indicative tables, which has been included on the core. On the pricing, this has not been fully reflected yet because that's something which was known at the end of the year. But there's always a rerating foreseen every year, which happens automatically. So there will be an offsetting element already in the re-rating, but the full element will come more towards the future. But at this moment, no need to expect other profitability levels with what we know today based on the actual assumptions.
Farquhar Murray: Many thanks.
Operator: And with that, I'd like to return the conference call back to the speakers.
Hans De Cuyper: Ladies and gentlemen, thank you for your questions. To end this call, let me summarize conclusions. Next to our outstanding commercial performance, our operations also delivered an excellent insurance results in 2024, highlighting the good underlying quality of our business. The board has decided to propose a total gross cash dividend of EUR3.5 per share, a growth of 8% over 2024. In 2025, we expect to receive EUR850 million to EUR900 million cash upstream from our insurance entities. And we successfully delivered on the Impact24 cycle through organic growth in all our entities establishing a strong base for Elevate27. And with these closing remarks, I would like to bring this call to an end. If you should have outstanding questions, don't hesitate to contact our IR team. Thank you for your time, and I wish you a very nice day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you very much for attending. You may now disconnect your lines.